Operator: Good evening and good morning, ladies and gentlemen, and thank you for standing by for 17EdTech's Fourth Quarter 2023 and full year earnings conference call. [Operator Instructions]. As a reminder, today's conference call is being recorded. I will now turn the meeting over to your host for today's call, Ms. Lara Zhao, 17EdTech's Investor Relations Manager. Please proceed, Lara.
Lara Zhao: Thank you, operator. Hello, everyone, and thank you for joining us today. Our earnings release was distributed earlier today and is available on our IR website. Joining us today are Mr. Michael Du, Director, and Chief Financial Officer; and myself, Investor Relations Manager. Michael will walk you through our latest business performance and strategies, and I will discuss our financial performance in more details. After the prepared remarks, Michael will be available to answer your questions during the Q&A session. Before we begin, I'd like to remind you that this conference call contains forward looking statements as defined in Section 21E of the Securities Exchange Act of 1934 and the US Private Securities Litigation Reform Act of 1995. These forward-looking statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known risks and uncertainties and other factors, all of which are difficult to predict and many of which are beyond the company's control. These risks may cause the company's actual results, performance, or achievements to differ materially. Further information regarding these and other risks and certainties and factors is included in the company's filings with the US SEC. The company does not undertake any obligation to update any forward looking statements as a result of new information, future events or otherwise except as required under applicable law. I will now turn the call over to our Director and Chief Financial Officer to review some of our business development and strategic direction. Michael, please go ahead.
Michael Chao Du: Thank you, Lara. Hello, everyone. Thank you all for joining us on fourth quarter 2023 and full year earnings results call. Before we begin, I would like to note that the financial information and non-GAAP numbers in this release are presented on a continuing operation basis and in RMB unless otherwise stated. Let me now start with our latest business updates. In this quarter, the company has maintained solid development and progress in our teaching and learning SaaS businesses. We've achieved 19.7% revenue growth in the fourth quarter of 2023 from the previous quarter. This was primarily driven by our growth in the teaching and learning SaaS businesses. An important progress is that we were able to win orders from additional group of clients. And expanding into our potential new customer groups and under new transaction modes, particularly business with individual schools and group operated schools has started building momentum with regular new contract screenings. Moving forward, we will accelerate the development of smart classroom, big data precision teaching, intelligent homework solutions and other products, including those with five aspects of education, holistically supporting personalized learning and accommodate students' individual aptitudes in their inter-school solutions. Now let me go into more details. In the fourth quarter, our teaching and learning SaaS businesses continue to make consistent advances. Our key projects continue to generate revenues marked by successful delivery and client acceptance. Notably, the digital transformation projects in Shanghai, Minhang District, that is based on our smart pen and paper technology, has completed its third phase revenue recognition. Similarly, our project in Beijing, Xicheng District has successfully completed its delivery as well. All such projects have seen immediate and consistent high usage with active rates above 90%. This continues to demonstrate our leading ability to deliver large scale and systematic projects. In the fourth quarter, we secured a contract for the teaching software integration and data analysis services project in Shanghai, Project. This is a SaaS-based pilot project valued at RMB3 million and initially covered eight schools-- around 100 classes, 200 teachers and 4,000 students within the district. Our services include integrating teaching software and providing big data analysis. By gathering learning process data from daily homework, staged assignments and in-cloud exercises, among other sources, we combine various dimensions such as student academic performance, learning behavior and subject literacy to create comprehensive student data profiles, enable precise data-driven and semi-automatic teaching and learning-- teaching and management strategies. During this quarter, we pursued new growth strategies and expanded our customer base, by establishing a strategic partnership with regional schools associated with well-known private education groups as well as individual operated public schools. We have successfully executed and delivered projects. This new strategy, targeting private school and select public schools with adaptable structure, have continued to show strong performance in terms of both contract value and quantity since last quarter. This model is a very good complement to our existing flagship-style projects with district education bureaus that typically aim at covering the whole district. Projects with individual or group managed private or public schools have a much quicker decision process and a higher certainty of funding. This more diversified revenue contribution by each project also helps build up a more smooth revenue stream. This model also further helps accelerate our strategy to reach more schools and students that we create a virtual cycle that further enhances-- further allows us to enhance our product and solutions. We are dedicated to provide the market with innovative leading product and solutions that set new standards in education technology. The Aerospace City Campus of the high school affiliated to China Renmin University, Foreign Language School, Nanjing, Jiangning, Binjiang Foreign Language School, Zhongshan [indiscernible] Middle School are among the long list of top leading schools that have subscribed to our teaching and learning SaaS offerings. Their recognition and early adoption of our solution are believed to be influential and are expected to further accelerate the adoption process within the area. In addition, projects with this group of clients are typically in subscription mode with semi-annual or annual renewal. In this project-- in the first project we signed last September that has entered the renewal this month, we have seen a revenue retention rate of 120%, which means additional classes and students and functions are being subscribed and used. This is a great result-- great initial results built upon our teaching and learning SaaS offerings high active use and a very positive sign that we are building up an increasingly steady SaaS revenue portfolio. Looking ahead, we expect adoption of the SaaS billing model to steadily grow as the market becomes more familiar with its benefits and we are confident that this model will not only unlock new revenue streams for the company, but also highlight the advantage of its current nature, fostering sustainable business growth. In terms of product and service offering, we have been continually refining our core offerings and enhancing user experiences to promote regular school use by integrating application systems and data profiles and daily teaching scenarios such as classroom, homework, and exams. Such integration aids effective teaching, enhances classroom quality, and supports teachers in delivering differentiated instructions. During this quarter, we enhanced our personalized learning products that focus on students' incorrect answers, enabling automatic correction across all school scenarios, and effectively utilizing correction data between online and offline platforms. Furthermore, we provide high quality and a diverse resource for personalized learning and to boost students' independent learning efficiency. Meanwhile, we continue to explore the practical application of AIGC in actual teaching scenarios as well as content preparation process to further deliver better resulting pilot projects. Our proprietary smart pen, which has passed the project pilot verification, further improves teacher's efficiency and experiences in correcting daily homework's. We plan to conduct further mass distributions in 2024. Recently, the 2024 World Digital Education Conference was held in Shanghai. With digital education, application, sharing, and innovation as its theme, the conference facilitated in-depth discussion on topics such as enhancing teaching's digital literacy and competence, constructing a learning society throughout education digitalization, artificial intelligence and digital ethics, and digital education evaluation. We participated in the conference and exhibit at the digital wisdom future education exhibition under the theme. We provided data-backed solution and shared experience to advance global digital education client and tackle challenge. From December 12 to December 14, 2023, as a response and development major chance, 2023 China Corporate Competitiveness Annual Conference hosted by the China news --business news. Our teaching--One Teaching, One Learning K-12 Digital Teaching and Learning Science Platform was honored with the 2023 Excellent Performance Company Award, Best Technology Innovation Award. This award recognizes and honor’s the companies that have made exemplary contributions to the socioeconomic field and has established themselves as exemplars and leaders in the responsive industries. Recently, the Beijing Municipal Education Commission selected 37 innovative application case of big data in education. Notably, Xicheng District, as subbed by 17Attack, was selected as a district-level case. And three other schools, including the Aerospace City Campus of the high school affiliated to Renmin University, Beijing Number 43 Middle Schools, and Beijing Primary School, Tongzhou Branch, also serve, which are all our clients, were recognized and are standing on school-level cases. These exceptional innovative application cases serve as a great model for schools in various districts and help us to win additional clients. Looking ahead, One Teaching, One Learning platform will continue to facilitate the digital transformation of education, consistent meeting the needs of those teaching students, thereby assisting schools in improving their teaching and nurturing process. The demand for our other educational service products is also highly dependent on the regulatory environment and provision of competing services. We are closely monitoring the development of the market as well as regulatory environment. Moving forward, we remain committed to explore additional educational products and services that are complying with regulatory requirements. Now I will turn the call over to Lara to walk you through our latest financial performance. Thank you.
Lara Zhao: Thanks, Michael, and thank you, everyone, for joining the call. I will now walk you through our financial and operating results. Please note that all financial data I talk about will be presented in RMD terms. I would like to remind you that the quarterly results we present here should be taken with care and reference to our potential future performance are subject to potential impacts from seasonality and one-off events as a result of a series of regulations introduced in 2021 and corresponding adjustments to our business model, organization and workforce. In this quarter, our teaching and learning SaaS business generated increasing revenue compared to the same quarter last year, signifying consistent client satisfaction and future development. We are also meticulously managing our expenses to further improve operational efficiency. We are confident that our SaaS business model is gaining recognition from our clients, helping us build a healthier and recurrent business as we enhance our service offerings and customer satisfaction. In the fourth quarter, we recorded net revenues of RMB47.3 million compared with RMB39.6 million in the fourth quarter of 2022, representing a 19.7% increase on a year-on-year basis. The net loss for the fourth quarter of 2023 was RMB98.4 million compared with RMB103.1 million in the fourth quarter of 2022. The adjusted net loss non-GAAP for the fourth quarter of 2023 was RMB81.8 million compared with adjusted net loss of RMB70.1 million in the fourth quarter of 2022. The gross margin for the fourth quarter of 2023 was 43.4% compared with 52.1% in the fourth quarter of 2022. As of December 31, 2023, we have cash reserves of RMB476.7 million on our balance sheet, providing sufficient funds for future development. Now I will go through our fourth quarter financials in greater detail. Net revenues for the fourth quarter of 2023 were RMB47.3 million, representing a year-over-year increase of 19.3% from RMB39.6 million in the fourth quarter of 2022. This was mainly due to the increased number of teaching and learning SaaS contract and the recurring revenue generated from our ongoing projects. Cost of revenues for the fourth quarter of 2023 was RMB26.8 million, representing a year-over-year increase of 41.4% from RMB18.9 million in the fourth quarter of 2022, which was mainly attributed to a higher proportion of deliveries in our teaching and learning SaaS projects during the quarter, as well as a partial contribution from hardware upgrades. Gross profit for the fourth quarter of 2023 was RMB20.6 million, remaining unchanged from RMB20.6 million in the fourth quarter of 2022. Cost margin for the fourth quarter of 2023 was 43.4%, compared with 52.1% in the fourth quarter of 2022. Total operating expenses for the fourth quarter of 2023 was RMB122.8 million, including RMB16.6 million of share-based compensation expenses, representing a year-over-year decrease of 12.9% from RMB141.0 million in the fourth quarter of 2022. Loss from operations for the fourth quarter of 2023 was RMB102.3 million, compared with RMB120.3 million in the fourth quarter of 2022. Loss from operations as a percentage of net revenues for the fourth quarter of 2023 was negative 216.0%, compared with negative 304.2% in the fourth quarter of 2022. Net loss for the fourth quarter was RMB98.4 million, compared with net loss of RMB103.1 million in the fourth quarter of 2022. Net loss as a percentage of net revenues was negative 207.9% in the fourth quarter of 2023, compared with negative 260.7% in the fourth quarter of 2022. Adjusted net loss, non-GAAP for the fourth quarter of 2023 was RMB81.8 million, compared with adjusted net loss of RMB70.1 million in the fourth quarter of 2022. Adjusted net loss, non-GAAP as a percentage of net revenues was negative 172.8% in the fourth quarter, compared with negative 177.3% of adjusted net loss as a percentage of net revenues in the fourth quarter of 2022. Please refer to the table captioned reconciliation of non-GAAP measures to the most comparable gap measures at the end of this press release for reconciliation of net loss and the US-GAAP to the adjusted net income or loss non-GAAP. Cash and cash equivalents, restricted cash, short-term investment, and term deposits were RMB476.7 million as of December 31, 2023, compared with RMB737.7 million as of December 31, 2022. As we look to the future, the company will persist in devoting itself to the field of educational digitalization, committed to the mission of making learning a wonderful experience. We aim to offer our customer efficient and high-quality product solutions and experiences while remaining focused on sustaining our developmental momentum and improving the operational efficiency. We are dedicated to fostering steady progress and achieving a long-term, stable and sustainable growth. In this quarter, the company and the founder, Chairman and Chief Executive Officer of the company, Andy Liu, has entered into a share repurchase agreement pursuant to which the company proposed to issue and Mr. Andy Chang Liu proposed to subscribe for 58,453,168 Class B ordinary shares of the company as a subscription price of the average closing price per ordinary share for the 30 trading days preceding the date of the share repurchase agreement-- pursuant and subject to and consistent with applicable laws. And in Nasdaq rules and accompanied securities trading policies. Following the share subscription, Mr. Liu will beneficially own approximately 26.2% of the company's total issued and outstanding share capital. This share subscription demonstrates Mr. Liu's confidence in the value and long-term growth of the company. With that, that concludes our prepared remarks. Thank you. Operator, we are now ready to begin the Q&A session. Thanks.
Operator:
Lara Zhao: Thank you, Operator. In closing, on behalf of 17EdTech Management team, we'd like to thank you for your participation on today's call. If you require any further information, please feel free to reach out to us directly. Thank you for joining us today. This concludes the call.
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.